Operator: Welcome to the Opera Limited Fourth Quarter and Full Year 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker today, Matt Wolfson, Head of Investor Relations. Please begin.
Matt Wolfson: Thank you for joining us. As usual, with me today are Co-CEO, Song Lin, and our CFO, Frode Jacobsen. Before I hand over the call to Song Lin, I would like to remind everyone that in the conference call today, the company will be making statements about future results and expectations, which constitute forward looking statements within the meaning of the Private Securities Litigation Reform Act. Such statements are based on current expectations and how we perceive the current economic environment and are heavily subject to economic, competitive and other uncertainties and contingencies beyond the control of management. You should be cautioned that these statements are not guarantees of future performance. And you may refer to the safe harbor statement in the company's earnings release for details. Our commentary today will also include non IFRS financial measures, including adjusted EBITDA, which are different from our consolidated financial statements that are prepared and presented based on IFRS. We believe that the use of our non-IFRS financial measures provides an additional tool for investors to use in evaluating ongoing operating results and trends. These measures should not be considered in isolation or as a substitute for financial information prepared in accordance with IFRS. We have also posted unaudited quarterly historic financial results of Opera on our Investor Relations website. With that, let me turn the conference call over to our Co-CEO, Song Lin, who will cover our fourth quarter operational highlights and strategy and then Frode Jacobsen will discuss our expectations going forward. Song?
Song Lin: Sure. Thanks, Matt. And thank you to everyone joining us this morning to review our fourth quarter results. We are excited to report yet another great quarter. Revenue of $113 million, driven by strong organic growth payout with cost discipline resulting in $28 million of adjusted EBITDA, well above our expectations. For the full year, revenue was $397 million and adjusted EBITDA was $94 million. The Q4 of 2023 built upon the strength we saw throughout the year. This time last year, we guided revenue growth of 15% for 2023 as a whole, with 20% EBITDA margin at the midpoint. Even after raising the midpoint of revenue and EBITDA guidance every quarter, we were able to consistently beat those expectations, ending the year with revenue up 20% and then adjusted EBITDA margin of 24%. We are very pleased that we have been able to consistently deliver revenue outperformance, while spending less than anticipated on marketing and accelerating our margin expansion. This also highlights our ability to consistently attract new users, primarily through organic channels. We did not wave off from our strategy to focus on high ARPU users. As expected, we are starting to see signs that high ARPU user growth is offsetting lower ARPU user churn, [whilst] (ph) a slight increase in our total user base during Q4. Annualized ARPU grew to a record high $1.44 in the fourth quarter, up 22% year-over-year and 10% sequentially. This was primarily driven by high value users as well as Opera GX. 2024 will be more of the same with the goal of continuing to grow these users, both in Western markets as well as high value users in general. Combining this focus on high value users coupled with the stronger product portfolio and ongoing efforts to continually improve monetization, puts us in a very exciting position. We are still a relatively small company with lots of potential remaining in the core browser business. During the quarter, advertising revenue was $68 million, growing 20% year-over-year. Advertising was strong for both our owned and operated inventory as well as Opera Ads. We saw particular strength in the retail vertical during the holiday period. Advertising now represents 60% of revenue. Search revenue was $45 million in the quarter, up 15%, which we are also very proud of, given the maturity of this revenue category. As we shift the mix of our user base towards higher monetization regions and user groups, we can generate search revenue growth well beyond the underlying market growth of search based monetization. Last quarter, I outlined three core growth drivers, Generative AI and the work we are doing with Aria, advertising opportunities and finally, our gaming focus, [with] (ph) Opera GX. I want to give you a brief update on each and how they shape our focus for 2024. For several years, we have used AI to help power our news and content products to deliver relevant and customized content for our users. In 2023, we stepped up those efforts, specifically rolling out Aria, our browser AI. Aria has received great user feedback and provided another point of attention that supported our user growth in Western markets. Yet, we need to be mindful that the whole industry is still in the early stage of its potential. Users can benefit more from AI assistance than what they might consider themselves. The muscle memory of routine is strong and many integration points within the industry need to be rebuilt. As we embark on the New Year, we continue to iterate and are very excited for this next chapter in the Aria story. We want to integrate Aria further into the browsing experience, assisting users to unlock more efficient gains whether it relates to the browsing of the web itself, obtaining or processing information, or content creation. As a browser and as an independent ecosystem player, we also have a unique opportunity to help users navigate the broader AI space and simplify their experience. On top, we see potential to help less tech savvy users take advantage of these technologies, while enjoying heightened levels of privacy and data protection. In short, these opportunities are huge. Our reward for helping our users benefit from Aria is observable not only as part of user growth, but also within engagement and indirect and direct monetization opportunities, from non-monetizable links in [chat environments] (ph) to intelligent recommendations based on the browsing context. As you may have seen, we have announced that we are pairing our product development with a significant investment in our AI infrastructure with the launch of a new data center in Iceland. This data center will be green, energy-powered, and takes advantage of the Icelandic climate to reduce cooling costs. And in general, we pride ourselves on our efficient hosting setup, typically at one-tenth of the cost of solar panel providers. And we're excited to expand our in-house hosting to the AI space. AI is processing intensive with energy and cooling being key OpEx factors, but less sensitive to latency variations in milliseconds. And such, Iceland is a great location for our first AI footprint, whereas our other data centers are typically located closer to our end users. Shifting to advertising, which remains a top priority given the potential we see to continue strengthening our monetization. As a browser company, we can leverage the closed-loop environment of the browser to capture interest and context. While remaining mindful of user privacy, we are able to create value and utility for the user throughout their online journey, unlike many advertising platforms which rely on third-party signals and cookies. For example, when shopping online, we do not need to rely on third-party cookies to tell us which offers to display to the user, but rather can do so organically and the right moment in the user's shopping experience, such as discount codes when viewing the cart, where intent is at its highest. With the growth of high-value users, we are becoming an increasingly relevant party to even more potential advertisers. Typically, in the context of integrated functionality that both benefits our users and has the potential to drive sizable revenue for Opera, representing a significant opportunity as we're looking to 2024. Beyond our Opera inventory, Opera Ads has proven itself as a competitive player in the broader landscape, attracting advertisers based on our technical abilities to augment their targeting. We will continue investing in that platform in 2024, which we will see good opportunities from e-commerce, gaming, and other high-intent user interactions in a programmatic way, coupled with advances in AI and algorithms, which we persist in pursuing. And then in terms of our focus on change, Opera GX continues its healthy growth trajectory. Our GX user base was 27.8 million in the [Technical Difficulty], adding 7% high-value users versus Q3 alone. On top of the user growth, annualized ARPU increased to $3.51 during the quarter, up 6% versus Q3. The compounding of user and app growth has brought Opera GX to become a product with almost $100 million annualized revenue run rate, demonstrating our ability to be relevant to a young and highly engaged user segment. In terms of footprint, Brazil now follows the US as the second largest market of GX. We continue to observe that GX users in emerging markets monetize significantly below their users on other browsers, where the gap between Western and other users be narrowed among PC gamers in particular. We feel great about the prospects of Opera GX in 2024 with continued user growth and further monetization opportunities within this attractive user base. Our ability to invest in the footprint of GX is also ever-expanding alongside the growth of the product market. Beyond these three highlighted areas of opportunity, we also observed some exciting trends in the broader ecosystem. One is the opening up of iOS for now in Europe, a result of a continued evolution of the regulatory environment in the EU and other parts of the world. Such regulatory measures to promote healthy competition is naturally a positive impulse to Opera and their independent player. Also, we are well positioned for the rebounding interest in fintech applications on Web3, where we continue to invest in technology and build use cases. Both of these carry strategic importance to Opera in the months and years to come. So now let me turn the call over to Frode to discuss the financials and 2024 guidance in more detail. Frode?
Frode Jacobsen: Thank you, Song. Q4 was a great quarter for us with a continuation of the strengths we've observed all year and a confirmation of our confidence as discussed when we raised Q4 guidance last quarter. Revenue in the quarter came in at the top of our guidance at 17% year-over-year growth. On a constant currency basis, our growth would have been about 4 percentage points higher or 21%. Our user base is growing in Western markets and PC browsers also grow high ARPU users in emerging markets due to the success of Opera GX. The decline of low monetized mobile users in emerging markets is offset by strong underlying ARPU growth, leading to revenue growth in both Western and non-Western regions for all products. Adjusted EBITDA came in well above our guidance, adding $3.8 million to the top of our prior range. The overperformance was driven in particular by lower marketing spend than anticipated in our guidance and cost of revenue coming in about 1 percentage point lower than anticipated relative to revenue. On the other hand, we saw an increase in cost related to advisory services supporting our internal teams on SOX readiness, as well as the bad debt provision. Cash flows came in at the high end of expectations relative to adjusted EBITDA, with an 88% conversion to operating cash flow for the year as a whole and 77% conversion to free cash flow from operations for the year as a whole and both slightly stronger in the fourth quarter in isolation. Tax cost for the year was relatively modest at 7% of adjusted EBITDA. In 2023, we benefited from both the recognition of tax assets in relation to our share-based compensation in prior years, as well as FX movements between USD and local currencies in which our taxes are calculated and paid. Our year-end balance sheet includes an updated fair value assessment of our investments in OPay. We value our stake at an estimated $269 million, up from $163 million before. This results in a significant non-cash accounting gain of $106 million in the fourth quarter. As noted in our press release, we've observed that the company more than quadrupled its user base during 2023 and saw an even higher uplift in daily usage, in turn driving strong revenue growth. The updated valuation also ties with the limited investments by a new OPay investor in late 2023, which subscribed at a $3 billion OPay valuation. We remain interested in selling our stake in OPay at the right time. We are also open to a later stage exit in connection with OPay eventually going public, according to its longer-term plans. Our OPay stake stood at 9.44% as of year-end. We completed our most recent buyback program in the quarter, repurchasing 1.15 million ADSs at an average price of $11.27, totaling $13 million. We thereby fulfilled the $50 million buyback that was launched in early 2022 with a total of 6.1 million ADSs repurchased at an average cost of $8.17. We will continue to consider buybacks in a tactical manner to maximize value for our shareholders in the long run. Since 2020, we have repurchased 35.5 million ADSs equal to 30% of the shares outstanding at that time, at a cost of $228 million or $6.44 on average per ADS. When adjusting for dividends avoided, the average cost is even more attractive. However, as we look ahead, it is our recurring dividend program launched in 2023 and currently at $0.80 per ADS per year that is expected to be our main avenue of returning funds to our shareholders. Now, turning to our first guidance for the full year 2024 and the first quarter. For 2024 as a whole, we are guiding revenue to $450 million to $465 million, representing 15% growth at the midpoint. The guidance assumes continued convergence between the growth rates of advertising and search, though further upside would more likely be fueled by advertising. We expect to continue our browser's growth trajectory with high ARPU users, and we expect continued expansion of Opera Ads. We guide adjusted EBITDA to $106 million to $110 million, representing a 24% margin at the midpoint. The EBITDA guidance is highly exposed to what marketing costs we assume, and this cost is also highly discretionary. In 2023, marketing costs came in at 28% of revenue versus about 32% in our original guidance for the year. As a reminder, marketing cost was 35% of revenue in 2022 and even 48% of revenue in 2021. From a relatively low spend level at the start of 2023, we scaled our marketing activities quarter to quarter. We are encouraged by our ability to scale at attractive ROI. And as we look to 2024, we expect to continue the sequential trend as an investment in our growth trajectory, also beyond the current year, though starting the year with a Q1 spend more similar to Q4. In sum, this translates to a marketing spend expectation of just above $130 million or about 29% relative to revenue. Cost of revenue items combined represented 23% of revenue in 2023, scaling with the successful expansion of Opera Ads. Our guidance implies a modest continuation of the trend, adding about 1 percentage point relative to revenue for 2024 as a whole. Similar to 2023, the percentage will start below the annual average and increase in subsequent quarters. For remaining cost expectations, both cash-based compensation costs and the sum of our other cost items prior to adjusted EBITDA are expected to grow year over year in the mid-single digits. And as a result, they're expected to drop about 2 percentage points relative to revenue combined. For the first quarter, we guide revenue to $99 million to $101 million or up 15% year-over-year at the midpoint, and adjusted EBITDA of $22.5 million to $24.5 million or a 24% margin at the midpoint. In conclusion, we've put behind us a year that's progressed ahead of our expectations, both in terms of revenue and profitability, and we are excited to embark on 2024. We're only two months out from releasing Q1 by now, and we look forward to giving you more color on how 2024 is shaping up then. With that, I'll turn the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Lance Vitanza with TD Cowen. Your line is open.
Lance Vitanza: Hi, thanks for taking the questions and congratulations on the quarter. A couple for me if I could. The first is with respect to the headroom that you think you have to further expand the user base in the high value markets like the US and Western Europe. And I know you touched on this a little bit during the call, but could you provide any more color on how penetrated you believe you are in those markets today versus where do you think you can ultimately take that? And then I was not quite sure I followed the commentary around Brazil and how that comes into play. That's not necessarily a high value market, but it sounds like you're seeing some progress there. So if perhaps you could revisit that and elaborate on that, that would be helpful. Hello? Song Lin, are you muted?
Song Lin: No, no, I'm good here.
Lance Vitanza: Okay. Did you guys get the question or should I repeat that?
Song Lin: No I think it's good. Okay so, no I think it's good. [Technical Difficulty] Maybe I'll comment a bit for the GX penetration and also a bit for Brazil. And then Frode can always add colors for the user numbers. So yeah, so more like maybe starting with Brazil because it's actually quite interesting. I think we just commented that for GX, US, of course, is always our number one market. But it's a good example that will also show very strong growth for Brazil, more like as emerging market, but also, it's a function that -- it's also one of the places where we see -- traditionally it's counted as the emerging market and you see [indiscernible] not so high on the others, but for GX what's been very interesting is that we see that, if it's a game gaming users, if it's from PC gamers very active, then they actually see that it's actually relatively high ARPU compared with other browsers. So I think it's, so we'll highlight this to call out that in some instance, especially I would say in PC and in GX case, we actually see maybe less difference of user from different regions. But rather as far as their high app users, for instance, they are gamers, they play with AAA games, then you actually see quite high ARPU across the regions. So I think we are excited to see that we have very good growth of GX users in Brazil. And also it's proof, I would say rather, that in the long run perhaps, more relevant is high ARPU users with high intent, we also see as a trend in the industry, and can even be less limited to a particular region. So I think maybe that's the commentary, that's the way you have here. And then maybe also to comment that, but still, like all in all in general, both, I would say, let's say high ARPU user market or let's say in Western market, we're still in a single digital market share, right? We still have plenty of room to grow. And overall, we're just very excited about the potentials. It's more like, I would say, for certain products, which are already very high ARPU to start with, we also announced the GX ARPU right? I would say we probably have less focus on particular region and where I will have all the user growth, both organically, also by marketing spend. So potentials are huge. While we, of course, in certain other verticals, we'll, of course, focus more on high user value markets like Western markets.
Lance Vitanza: That's super helpful. And if I could just squeeze in one more question about capital allocation before I pass the baton here. And I heard the commentary about the dividend being the primary mechanism for returning cash to shareholders. And I think I know the answer to this, but there's a yield on the stock, a 7% dividend yield that would seem to suggest that maybe the market sees potentially some downside risk to the dividend. And just to be clear, is there any reason to think that the dividend could actually be cut or lowered? I mean, it seems to me like the risk around the dividend is to the upside given you have no debt, you have strong margins, and even if growth were to begin to plateau, which it hasn't, it seems as though you're generating, I mean, I think I have you at around $150 million of cash at the end of this year, even after you pay the public portion of that $0.80 dividend, right, because you still have some of the StarMaker receivable that you're working off I believe?
Frode Jacobsen: Yeah that's correct. Yeah I can try to broadly comment I mean, yeah, we seem to trade at a good yield, so good for our investors. The business is scaling. We are converting cash -- sorry, profitability to cash, I think in a healthy manner. I would also end up with a calculation of increasing cash, also taking into account our new Iceland data center for the year though. So we obviously we'd like to be more textbook And we just launched this recurring dividend, but over time, of course, we would like to be in a position where we can increase it and certainly not decrease it.
Lance Vitanza: Thank you very much, guys. I'll get back in the queue.
Frode Jacobsen: Thanks, Lance.
Operator: Thank you. And we'll take our next question from Eric Sheridan with Goldman Sachs. Your line is open.
Eric Sheridan: Thanks so much for taking the questions. Two, if I could. First, coming back to the comments about Apple and opening up broader competition, how should we think about what that means for growth in the business, not only in 2024, but against a longer-term time horizon and how you're thinking about incorporating that into forward forecasts? That would be number one. And then number two, obviously nice leverage displayed both in the quarter and the way you're framing margins for ‘24. Can you talk a little bit about balancing what your key investments are for ‘24 against delivering against that type of operating leverage? Thanks so much.
Song Lin: Yeah, sure. So I guess [indiscernible] I thought I'll just take the Apple one because I like it. So now I think so in general I think it's still rather early stage, right? Because it's a function of regulatory changes. I guess everybody sees the motions. Well, due to some of the pressures from EU, the [MA Act] (ph), that we see Apple now starting to open up, right, trying to say that they now allow potential third party browser engines, in our case, to be available on Apple, even though there's still lots of conditions that we need to iron out. So I would almost say, as we all know that in the Western market or high aftermarket, Apple has a significant market share, and that has been rather busy in some private browsers because they simply do not allow a browser engine at all. So I don't know if many people realize that from the beginning. They never allow it, which is rather strange. So I would almost say that I think now we have this false right move that's opening up, that the potential that can allow us to compete in the same level as say Android, which is now by far the majority of the mobile smartphone base, simply because we can then have our own engine. So I think that's definitely the right direction. There's still work to do because I think even -- yeah, we also have a good talk with Apple and many others. They are still ironing out the whole process. And with all -- because now it's also limited to the EU which is a bit strange. Like why would you have something which is only okay in Europe, not other place. So we need to iron out a lot of details, also in very good spirit and partnership with Apple and likes, but we like the movement and the directions and we are very actively working on it. I do think that we will have higher growth in iOS in any case, but of course again it depends on a few of other stuffs that we're actively working on. So yeah, so I think that's my short answer. But then maybe Frode can comment a bit on capital allocation models?
Frode Jacobsen: Yeah, sure. Eric, so, I mean, our underlying trend is the margin expansion as we scale. And then when we look at the 2024, we set our guidance based on sort of that normalized trend of that scale. So I think we guide about a point or so percentage points ahead of consensus, given that we have scaled very strongly in the fourth quarter. The fourth quarter alone lifted the EBITDA margin of 2023 by an entire percentage point relative to what we guided for the quarter ahead of time. So we certainly came in ahead of expectations throughout the year, including in the final month of the year, because if you look back, remember our original margin expectation for 2023 was 20% EBITDA. So we continue to scale it but we also invest in growth in our marketing when we see healthy ROI and we have been stepping that up in dollar terms quarter by quarter and we do want to continue that trend.
Eric Sheridan: Thank you.
Operator: Thank you. And we'll take our next question from Naved Khan with B. Riley. Your line is open.
Naved Khan: Hi, great. Thanks a lot. On the iOS topic, I'm curious if you plan to do any advertising to drive up awareness for Opera as this change goes into effect on March 7, so that you can get more downloads, any color on that? And then I have a follow-up on the ad extension. Are you seeing Any increased interest because of the upcoming cookie deprecation and Chrome browser and how you kind of offer a closed loop system for advertisers?
Song Lin: Yes, so okay. This is Song Lin here. I think I'll comment a bit in the start, and then further I can always chime in for more details. So yes, I think you probably referred to the potential ballot screen, and that also allows you to choose a list of households from when they first opened the phone [indiscernible]. So I would say yes, I think we were definitely, we're probably allocating more marketing budget, I agree, because of the good timing. But then maybe just to point out that of course for us, we're more looking also forward into the capability of being able to have an independent browser engine because that actually will make more differentiation, and that will take more time simply because Apple will, yeah, there's still a lot of limitations technically, that Apple, yeah, it's still not very clear yet, how that comes out, so we need to work on that. But yes, high level I think does make sense to have higher marketing spend, and we're looking forward to it to actually further increase our iOS marketing share. So it's that. And then also maybe comment a bit on the ads, yes, yes, we do see that web traffic is quite relevant to us as the ads platform, which is because we as a browser, are quite natural into this. We have [indissociable] data and we're not really impacted by less or no traffic models. So yes, we already see a good trend that we see picking up of web traffic, perhaps more than anything else in Q4, and we think that trend will continue in Q1, and we'll focus on that as well. So it's probably going to be a bit tailwind or good advantage for us moving forward.
Naved Khan: Excellent. Thank you.
Operator: Thank you. And we'll take our next question from Alicia Yap with Citigroup. Your line is open.
Alicia Yap: Hi. Thank you. Good evening. Good morning, management. Thanks for taking my questions. Also, congrats on the solid quarter. I have a few questions. First is following up on the Brazil GX browser with the lesson learned from Brazil, would that lead you to think about also launching in other markets? If so, where could that be? And then second question is just wondering if there's any initial target that on the revenue contribution or incremental revenue contribution that can be coming out from the Aria integration later this year? And then our last question is, given you continue to grow the high value, high ARPU user on your platform, what kind of potential new advertisers, industry, vertical, or category that you believe you could attract that have not been already on your platform? Thank you.
Song Lin: Yeah. Okay. So, yeah. Okay. Like again, Sony Lin here. I’ll start and then, Frode, please chime in, and I'll try to brief. So, yeah, I think GX, I mean, GX essentially is available worldwide. We don't really have too much limitations on regions. But then you are right that the content of course of GX can be different across regions because of languages, news, user interests, among others. So yes, there are a bit of localization needed and a bit of localized focus which as you are rightly saying that we have -- like we've both focused on US and other European countries but now we're also expanding into LatAm, in particular Brazil, which works really well. So I think naturally we will want to expand more into LatAm, into relevant regions. And then there's also other similar regions which we can look at. So I think the focus is naturally that we want to target in regions and countries where there is a big penetration of gamers, especially PC gamers, because that's a very relevant product for GX. So I think that's how we look at it. And I think we will continue to see a nice expansion of GX user base, which again is a very nice revenue driver and it's profitable from day one. So very excited about it because that actually will mean more profit margins hopefully. And then I think you also commented about Aria and its contribution to revenue I guess. So like again, it's still, for the time, it's still a bit out of stage. But I would say that, first of all, of course, it does bring awareness and say we have grown very nicely for Opera One, our flagship product because of AI, because people put a lot of focus on it. They see that it can be differentiated. But then on top, if looking on purely revenue point of view, in many regions, you probably can already see that now the AI, the Aria chatting has now already included monetizable links if you click on it, if you take it to a web page and where would you get monetizable shares. So I think that's a very good example of how that can be monetized, even though we're still working, of course, with our partners, because it's very important that they are also on the board, specifically how we should design the model for work. So it's that. And then, again, not limiting to links. There are many other recommendations of the hotel and many others, which we are very excited about with our partners experimenting. So like [indiscernible], very nice way of monetizing, very easily conceivable. The only thing is just we have to see almost a bigger change in the industry and we want to work very closely with our partners to do this in the right way. So it's that. And then I think, what's the last question again?
Alicia Yap: As you continue to grow the high value, high ARPU user, any new advertiser industry vertical that you haven't been on board, you can able to attract.
Song Lin: Yes, yes. Sorry, I don't have a note. So, yeah, I forgot as well. Okay, sure. So, yeah, I mean, I think it's actually quite interesting, right? Because in Q4 alone, we already see that, e-commerce is already standing out. But I would almost say that, it's really -- it's a bit different than what we've seen in the past. Now we see that e-commerce [indiscernible] with a very specific high user intent is very relevant. Like, instead of generic banners showing, hey, you can buy this, this, or that, We see that now we can do more, I would say, focus on high intent user events, like at the point where users want to check out, we say, hey, do you have a coupon code? Hey, maybe you want to check this cash back. And those actually work really well. We are experimenting with some of our US partners, so very excited about it. I think that's definitely a new trend that we see that we focus on high-intent user events, and then we make and then we try to commercialize it, but also give very good user values. Because users are very appreciative, because that gives them value right out of the sport. So I think similar styles that may be potentially lower frequency, but very high value event with good user intent, e-commerce, but it can also potentially be FinTech finance, credit card application or whatever, can be quite relevant. So those are what we are excited about as the potential new verticals.
Alicia Yap: Okay, great. Thank you.
Frode Jacobsen: Maybe I should just comment on your second question in terms of guidance. So I would say, we do reflect the fact that Aria helps us raise awareness, and so it helps us attract high value users, and we see that it's also very engaged users that we monetize well in our existing monetization directly. So that's how we consider it for now, and then in for mentality, we are more cautious to build in, since it's still so new.
Alicia Yap: I see. Okay, got you. Thank you.
Operator: [Operator Instructions] We'll take our next question from Mark Argento with Lake Street. Your line is open.
Mark Argento: Hi. Good morning, guys. Just a couple quick ones here. So, Song Lin, I know in your prepared remarks, you talked a little bit about search, continue to see decent strengths there. They grew 15%, but you did mentioned that you thought you could grow in excess of the search market. Just wanted to drill down there a little bit and on -- is AI the core contributor there. And then just one for Frode on the OPay, big [reval] (ph) up on the stake with the recent investment. Did you guys get a look at the opportunity to sell secondary shares in that transaction or what's the probability we could see a monetization there? And then if you do monetize, any kind of thoughts on use of proceeds? Thanks guys.
Song Lin: Yeah okay. So yeah I'll briefly comment and then Frode can also evaluate -- comment a bit on the other questions. So yeah, I guess when we refer to search, I think it's really a function of number one, we do have like, say for instance, we work closely with our search partners, with the likes of Google and the likes. And in fact, of course, we do have the higher search growth because we are benefiting from not only the revenue growth, in this case similar to Google, but we do also have more user growth perhaps, just because we are starting from a much smaller point, right, like especially in high up markets. So I think that's really just to explain why we do have higher search revenue growth than say the bigger markets, right? So if you compare us with Google and the likes. So that's one. And then of course, we're also quite excited about the future because I think mainly because we are very positive about our potential user growth. And then I also agree with you that ways the incorporation of AI, it can actually make user more efficient and more search discoverable and then they can lead perhaps to the search page, the search results page more likely, which we really hope that can also bring more revenue stream from that and if we can also be innovative on that. But again, we're working very closely with our partners on that because I think it's very important that there's a coordinated effort.
Frode Jacobsen: Mark, I can comment on the OPay part of the question. So I think based on the results of 2023, we can say we are happy we haven't sold-out yet. We didn't monetize the stake a couple of years ago, but still a significant position. At the same time, it's not part of our businesses. We don't have any operational synergies really as an investor. So as a long-term view, we do want to exit the position, but there's no real necessity of a set timeline. So I think we'll consider it and treat it in an opportunistic manner. And then, as I mentioned on the call, whether that ultimately becomes a sale or an exit via an IPO, that's how we see it long term. But we don't have a set timeline that we, for some reason, must adhere to.
Mark Argento: Great. Thank you.
Operator: And it appears that we have no further questions at this time. I will now turn the program back over to Song Lin for any additional or closing remarks.
Song Lin: Sure. Okay. So, like I said again, really appreciate you could join the call. In conclusion, we think that 2023 was a terrific year for Opera. The top line growth and adjusted EBITDA margin expansion we experienced, combined with the best product [for the field] (ph) in our history sets us up for continued success in 2024. So we're really looking forward to it. And I would also like to thank all of you, our employees, for your hard work and our investors, for your confidence in us. Thank you for it.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time and have a wonderful day.